Operator: Greetings and welcome to the UPC Insurance Third Quarter 2015 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Adam Prior of The Equity Group. Thank you. Mr. Prior, you may begin.
Adam Prior: Thank you and good morning, everyone. Thank you for joining us. You can find copies of UPC’s earnings release today at www.upcinsurance.com in the Investor Relations section. You’re also welcome to contact our office at 212-836-9606 and we would be happy to send you a copy. In addition, UPC Insurance has made this broadcast available on its website. Before we get started, I’d like to read the following statement on behalf of the company. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the Federal Securities laws including statements related to trends and company’s operations and financial results and the business and the products of the company and subsidiaries. Actual results from UPC may differ materially from the results anticipated in those forward-looking statements as a result of risks and uncertainties including those described from time to time in UPC’s filings with the U.S. Securities and Exchange Commission. UPC specifically disclaims any obligation to update or revise any forward-looking statements whether as a result of new information, future developments or otherwise. With that, I’d now like to turn the call over to Mr. John Forney, UPC’s Chief Executive Officer. Please go ahead, John.
John Forney: Thank you, Adam. Good morning everybody. This is John Forney, President and CEO of UPC Insurance; and with me today is Brad Martz, our Chief Financial Officer. On behalf of everybody at UPC Insurance, I want to thank all the participants in the call for your interest in our company. This was a quarter of growth and achievement for UPC Insurance. During the quarter, we wrote over 34,000 new policies, setting record new business levels every month of the quarter. During the quarter, we announced the completion of a definitive agreement to purchase Interboro Insurance Company, which will give us a significant strategic head start on building our business in New York. During the quarter, we opened our ninth state, Georgia, which also became the first state to write business using our new policy processing system. During the quarter, we went over the 300,000 policies in force and $500 million premium in force thresholds for the first time in company history. During the quarter, we improved our non-cat loss ratio compared to the first two quarters of 2015 and compared to last year’s third quarter. And we ended the quarter with over 47% of our policies outside the state of Florida. I’d like to go on, but hopefully to get to the point, UPC Insurance has built a powerful growth infrastructure that is based on strong indigenous core insurance operating capabilities. The investments we have made in people, systems and processes are paying off for our company. Yes, we have challenges and plenty of room for improvement, but we also have a very strong and dedicated team of people that has laid the groundwork and smoothed the past for us to complete the build out of our model in the upcoming months and years. I’ve never been more proud of their contributions, nor have I ever been more optimistic about our ability to capitalize on the opportunities we have in front of us. I look forward to answering any questions you may have at the end of our presentation, but for now, I will turn it over to Brad Martz to discuss our results in more detail. Brad?
Bennett Bradford Martz: Thank you, John, and good morning. Before we get into the financial highlights, I’d like to encourage everyone to review our press release from October 28 and Form 10-Q that we plan to file next Thursday, November 5. The highlights of UPC’s great third quarter include gross premium written of $156 million, representing 48% growth year-over-year; gross premiums earned of $129 million, 28% growth year-over-year; net income of $8.1 million, or $0.38 a share; and underlying combined ratio of 88.3%; and our book value per share increased to $10.55 per share, up 15% from the same period a year ago. The headline for UPC’s third quarter remains solid organic premium growth. Total revenues grew 30% from $69 million last year to approximately $90 million this quarter. Direct premiums written for the quarter were almost perfectly balanced inside and outside of Florida, 50% came from Florida, about 14% Texas, 14% from the Carolinas, 12% from the North East and 8% from Louisiana. Florida was approximately 14% of our year-over-year growth, but Louisiana, Texas and North Carolina continued to drive overall growth in direct writings year-over-year. UPC added approximately 8,700 new policies in Florida during the third quarter, about 5,300 of those represent direct growth about 9%, growth in direct premiums written year-over-year, which is consistent with our expectations. Total policies in force at September 30, 2015 grew to 307,828, up 37% year-over-year, with a mix of 55% Florida, 45% non-Florida versus 70% Florida and 30% non-Florida of last year. UPC is currently in the final stages of [indiscernible] our new homeowner products for Hawaii and Connecticut, which are both expect to launch during the fourth quarter of 2015. This would make us operational in 11 of the 18 states where the company is licensed by the end of the year. UPC’s loss results of the third quarter were also very good as evidenced by a gross loss in LAE ratio of 31.4% versus 29.9% a year ago. Roughly 5.4 points of the increase for the quarter related to cat just described in our earnings release. Removing the non-recurring effects of catastrophe losses and reserve development, our underlying gross loss in LAE ratio was 29.3%, representing a 1.4 point improvement over the same period a year ago. This improvement was nearly 3 points measured against net premiums earned. The primary drivers of the improvement in UPC’s underlying loss ratios was the continued improvement in loss severity coupled with lower frequency of water and fire losses compared to the third quarter in 2014. During the quarter, the company saw its non-loss operating expenses increase approximately $11.3 million or 45% year-over-year, approximately $1.6 million of the year-over-year change is related to our acquisition of Family Security Holdings, $7.7 million or about 68% of that total was driven by policy acquisition costs and operating and underwriting costs, which mostly very directly premiums and policies, which also grew at similar rates during Q3. The remaining $3.6 million increase year-over-year related to general and administrative expenses, was driven by approximately $1 million of personnel costs, about 26% of the total increase; $1.6 million or 45% of the increase driven by legal and professional costs, of which approximately $1.1 million in non-recurring, or $0.03 a share; and $1 million or 29% of the total related to depreciation and amortization of IT investments and intangible assets related to the Family Security acquisition. The resulting gross expense ratio of 28.3% was 3.4 points higher than Q3 last year. Adjusting for depreciation, amortization and non-recurring expenses, our gross expense ratio was approximately 26.8% and the net expense ratio approximately 41%. An interesting factor that I’d also like to illustrate related to expenses is if you measure total operating expenses of $36.4 million for the quarter against our gross written premium of $156 million, our expense ratio on a stat basis using gross written premiums is only 23.3% and compared to the same period last year of 23.9%. So our expense ratio on a written basis actually went down, which is somewhat indicative of our ability to grow into the operating structure we’ve built. The migration of policies from our legacy systems to the new policy administration platform will begin as scheduled in the first quarter 2016 and we remain very optimistic about the prospect of improving our service capabilities, while concurrently reducing operating costs overtime as we reduce and eventually eliminate the significant outsourcer fees currently being incurred. The company also sees meaningful operating expense synergies related to the acquisition of Interboro Insurance Company, which we expect to be highly perfect to our results once the deal closes. We’re working very hard on obtaining the necessary regulatory approvals and have developed a sound integration plan that is also expected to facilitate improvement in our expense ratio as we leverage the benefits of this additional scaling. Finally, our balance sheet remains very healthy as UPC ended the quarter with just over $227 million in shareholders’ equity, lower financial leverage and a $2.8 million net unrealized gain in the investment portfolio. Our liquidity remains strong with cash and investment holdings increasing by $95 million or 22% year-over-year to roughly $530 million. Unrestricted cash available for the holding company was roughly $55 million and the combined statutory surplus of our group at September 30 was approximately $136.3 million, with UPC being $126.6 million and Family Security being just under $10 million. I’d now like to turn it back to John Forney for some closing remarks.
John Forney: Thank you, Brad. The $500 million premium in force threshold that we hit this month was significant for our company. Many of you know that we talked about building a $1 billion business, facing coastal states from Texas to Maine. So it feels like we’re halfway there and gaining momentum. We’re pleased with the progress we made, but not satisfied and we look forward to the rest of the journey in the coming months and years. Once again, we appreciate all of your interest and support for our company. And at this point, we’d be happy to answer any questions you may have.
Operator: [Operator Instructions] Our first question is from Greg Peters with Raymond James.
Greg Peters: I was wondering if you could provide some commentary on the Florida market conditions both for assumed business and direct? And then the discussion out to other important markets, I suppose Texas would be another important market, if you could provide us some context of what’s going on there. And then finally, New York, Interboro, do you have a perspective on how their third quarter results was?
John Forney: I’ll start on that and Brad can augment as he see fit. So first of all with regard to Florida market conditions, I think we see more of the same, which means a highly competitive market with lots of competitors and people competing aggressively business. So it’s a difficult market to grow a quality book of business in. We’ve been content to grow very slowly and in spots where we feel like we want to augment our existing book of business and diversify further within the state of Florida. So we expect continued slow growth in Florida on the written side and on the assumed side, as you know, assumptions have never been a huge part of our business model, but we’ve done them selectively and we’ve had good success in getting policies that have been profitable and we’ve been able to keep for the large part. It’s getting increasingly more difficult to find those kind of policies and citizens, and so we expect take on activity certainly for us, I can’t speak for anyone else, to be even more modest than it has been in the past. The good news for us, as evidenced by our results during the quarter, is that we are finding lots of opportunity outside the state of Florida. In two of the three months of the quarter, we wrote over $17 million of new premium and $15 million of that in those months was outside the state of Florida. We’re finding much less competition, although not no competition, and a hungry appetite for new solid well-capitalized entrants like ourselves. So we’re trying to take advantage of that and put business on the books as quickly as possible. There is maybe one stat that illustrates the difference between Florida and outside of Florida that I leave you with, and that’s what we refer to as the hit ratio, which is the number of policies that we write divided by the number of quotes that we get. So it’s a measure of your success in competing, how many you’re writing for how many you’re quoting. In Florida, that number for us and I think for most folks is under 10%. Outside of Florida for us, it’s north of 30% and sometimes north of 40%. So that summarizes the difference between those markets. Finally, with regard to Interboro, I do not have any insight into their third quarter results at this point.
Greg Peters: If you could just go back to the comment about the 10% hit ratio versus 30% outside of Florida, some could infer that with the higher success rate outside of Florida, there could be some pricing disconnect between what you’re doing and what the rest of the market is doing, maybe you could just speak to what you’re doing on the underwriting side and the pricing side to prevent any adverse selection?
John Forney: That would be an incorrect inference for anyone to make. The primary reason the hit ratio was so much higher outside the state of Florida is agents outside the state of Florida might be quoting a small handful of companies, four or five companies perhaps. Inside the state of Florida, an agent might be quoting 10 or 15 companies, because there’s just so many more people writing homeowners business in the state of Florida than are writing in those other states. So that’s the primary reason for the difference. We take a very conservative underwriting posture in all of our states. We have very strict guidelines. As you know, we develop a product that uses proprietary cat banding to get the right rate for the right risk from a win standpoint and we have very conservative AOP guidelines in terms of underwriting as well. We’re very happy with the way our book is building outside the state of Florida. One of our reinsurers showed us some statistics from the winter storms that, as you know, took a toll on us in the first quarter and the statistics they showed us suggested that our book performed better than any of their other clients in the Northeast on those winter storms. So we had a great third quarter in terms of our gross loss ratio outside of Florida. It was actually lower outside of Florida than it was inside of Florida, which is not what you would expect. You would expect to have a higher gross loss ratio outside the state of Florida. So we’re building a quality book of business, we just have financially stable company with good products, great claims service, we are easy to do business with and we have a fair price and that’s why we win business.
Bennett Bradford Martz: John, can I add one more comment to that commentary about the difference in hit ratio, inside Florida and outside Florida is the use of comparative raters that has a big impact on the Florida ratio.
Greg Peters: Clarify that further, Brad, what do you mean by that?
Bennett Bradford Martz: I am going to allow Deepak Menon, our VP of Operations and Business Development to answer that question for you, Greg.
Deepak Menon: As John stated, outside of Florida where everybody understands our niches, as John stated, there are three or four companies that they know that they are quality writers and that’s one of the main reasons our hit ratios is high outside of Florida. But inside of Florida, there is a lot of comparative raters like [indiscernible] and so a lot of – we are quoted against multiple companies every single time. So that really drives the conversion ratio, the hit ratio as John stated. It’s the same in auto and homes.
Greg Peters: And so what you are saying is Deepak, that the use of comparative raters outside of the state of Florida is not prevalent or less prevalent?
Deepak Menon: Less prevalent.
Greg Peters: Just a final area and you bought it up in one of your answers, John, was just about the catastrophe experience, clearly the first quarter and the second quarter to some degree were a disappointment in that regard for catastrophes. When we look out to 2016, how should we be thinking about catastrophe losses in terms of earned premium, in terms of a percentage?
John Forney: I don’t know that I can give you specific guidance on cat losses as a percentage of our earned premium. This quarter, they were three points; they were a lot more than that in the second quarter and the first quarter. But last year, there were almost zero. So the answer is going to be on a normalized basis somewhere in between those numbers that we expect to have cast losses that occur in our various markets just about every quarter. If they don’t, that’s great; if they do, we have the appropriate financial backing to be able to withstand those. And as we’ve noted all along, our models suggest and will produce in non-cat years always north of 20%, but we had significant cat activity like we’ve had this year, it’s going to be between 10% and 15%. And that’s still a solid return in this business. So we feel good about the way we’ve been able to weather the storm unintended this year and learned a lot and gained experience, it’s going to be very helpful to us going forward.
Operator: Our next question comes from John Hall with Wells Fargo.
John Hall: John, there was a return to growth in Florida, but in your answer to Greg’s question about Florida growth, you seem to point towards slow growth on the written side. How should we be thinking about growth in Florida on a go forward basis? Is 9% is on the high side or is that a more normalized type of number of for you guys now?
John Forney: My thinking is it’s not on the high side, given a lot of different things that we’ve been doing in Florida. We have a new leader for our Florida sales efforts that’s been on board for our company for not all that longer time. He’s made some significant changes in the way that we are marketing our business in Florida with some new reps and new approaches and it’s a very professional sales approach. I think it’s going to bear dividends. The second point is we did implement in the quarter a new rate structure in Florida that was approved by OAR and was implemented partway through the quarter that overall was a 0% rate change for us, but was targeted to markets where we had a need or desire to grow and in those markets we had fairly significant rate decreases to put it in line with the market. And so we think we are going to be able to grow in markets where we historically have not bad significant presence. So based on those two factors, I think we will continue to see reasonable growth in our Florida book.
John Hall: And then there was a notable uptick in Texas as well, I was just hoping you could comment a little bit more on where that business is coming from and perhaps whether TWIA contributed?
John Forney: TWIA is an immaterial part of that number. The new business that we are writing in Texas has come largely from our UPC 1.0 product and our organic agency force. The TWIA depop initiative has been hampered by the way that the state shows to structure it, it makes them very cumbersome on agents to do it and it’s opt in versus opt out which makes a huge difference. So we continue to get dribs and drabs from that and expect it will add up to something significant over time, but in any given month, it’s a very small part of the business that we bring in. So Texas is a very simple, in my mind, we’ve been there now for almost 2 years, the first year we had very little traction in Texas. We implemented our UPC 1.0 product in the spring of this year and we also took almost our entire executive team out to Texas, we spent a week on the road meeting with agents in one-on-one and group sessions, we had probably 1,000 the agents that we’ve made contact with and we give presentations to and our new business before that implementation of 1.0 and the promise to us as we call that was a couple of million bucks a month and since then it’s been $5 million to $7 million a month. We got great feedback from the agents about the trip, about their gaining familiarity with our company and the comfort they have with us and we have a superstar on the ground there in Texas who has been in the market for a long time and has very high credibility with agents. Those are the reasons for our success there and we expect that to continue.
John Hall: The cat losses in the quarter, you call them out as being in the Northeast, just wondering if you could offer a little bit more precision on what the event was and what particular state?
John Forney: You may remember on our last earnings call which I forgot the exact date, August 4 or 5, I think, I was asked the question are you going to have cat losses this quarter and I said, well, when I woke up this morning and looked at the weather channel, it looked like there was severe thunderstorm activity going to occur in Rhode Island and it looks like there was going to be pretty bad. And so it was. And so those were the storms that caused our cat losses this quarter. They were in early August in Rhode Island.
John Hall: And then Brad, you called out $0.03 a share of non-recurring costs in the quarter. Were those costs associated with Interboro or something else?
Bennett Bradford Martz: Something else and unfortunately that matter is protected by confidentiality agreements, I really can’t elaborate.
John Hall: Interboro was lying below our radar screen as far as an opportunity out there. I was just wondering if you could point us in the direction of, are there other smaller single-seat homeowners companies out there that are on your radar screen?
John Forney: When we look for acquisition targets and we’ve always said that it’s one of our four leverage of growth with the first being organic agency growth, the second being partnerships with other carriers like Allstate, Nobel and Geico et cetera, the third being selective take-outs and the fourth being M&A. So when we look for M&A, we always want to make sure that it’s strategically consistent that their property writers in coastal areas so that it fits what we’re trying to build. And there is not a long list of companies out there like that. But there are a few others that are potential targets. We initiated our first conversation with Interboro in December of 2013. So it’s a long time in the making, we got to know them very well and got comfortable with the book of business that they were building and had built on the homeowner side. And it’s a 100-year-old company up there, they have a lot of credibility in the Long Island market. So it was a good opportunity for a strategically and financially, as Brad said, we expect it to be accretive and we think we paid a fair price for it.
John Hall: John, as you’ve watched the weather channel so far at the beginning part of the fourth quarter, has there been anything that has caused you some concern as far as cat losses in the fourth quarter?
John Forney: The only thing I’ll point to was really extraordinary rain that occurred in the Carolinas that I don’t know if it was spun-off by Hurricane Joaquin, but it was coincidentally or not happening while Hurricane Joaquin was lingering off the Atlantic Seaboard. And while that’s primarily a rain and flooding event, when you have that much rain, they had just extraordinary amounts of rain in South Carolina, it’s going to exposed problem in roost et cetera. So there definitely will be some losses from that.
Operator: Our next question is from Arash Soleimani with KBW.
Arash Soleimani: Couple of questions. Was there any impact whatsoever from Patricia causing any rain in any of the territories you guys are exposed to?
John Forney: We haven’t seen any significant claims activity in Texas or Louisiana related to Patricia.
Arash Soleimani: And can you talk about actually rain within Florida, was that an issue in the quarter? And if so, I’m not talking particularly in the Tampa area, to what extent did that impact UIHC?
John Forney: We do not have a significant concentration of policies in the Tampa Bay area, so we do not see material impact from those events.
Arash Soleimani: I know you said you can’t talk about the legal and professional expense. Can I ask if that will continue? Because I know we had about $1 million last quarter, $1 million in the third quarter, just for modeling purposes, should we continue to have about $1 million going forward per quarter?
John Forney: We certainly hope not. I would model that, they were separate issues related to things that occurred prior to 2012 and there are no others like that that I am aware of.
Arash Soleimani: I think, Brad, you had mentioned the policy administration systems, the new ones, did you say those go online in 1Q 2016?
Bennett Bradford Martz: The migration starts in Q1 of 2016, but the system is already online. It is supporting our Georgia writings today; it will support our Hawaii and Connecticut writings in Q4. And so as we expand to new states, all these states goes directly onto the new system, but the key driver of expense reduction going forward will be the migration of the existing in force business to the new system. So we’re going to start with Texas in January, followed quickly by Florida. We are starting Texas because it’s likely smaller, but it’s a big driver of new business growth and the fees we are incurring for new business are significantly higher than renewal business. And then obviously we want to address Florida, because that’s where the bulk of our policies in force are. So while those rates are lower, for renewal processing, renewal business, it’s still going to lead to substantial savings over time. But we are doing it one policy at a time and that’s why keep giving the guidance on giving regarding the track that there is no quick fixed year. So yes, we will see some expense ratio improvement in the second half of 2016, but we really won’t be – have everything migrated onto the new system until 2017. And we believe there is about two points of growth expense ratio savings once everything is fully migrated and running on the new platform.
Arash Soleimani: With that said, so at some point in 2017, that’s when you will start paying the fees for the third party providers, I’m assuming, right, will that be a gradual process between 1Q 2016 and 1Q 2017?
Bennett Bradford Martz: Exactly, gradual process.
Arash Soleimani: And the assumed written premium you had in the quarter, I think you had about $4 million, have you mentioned what that was earlier in your comments?
Bennett Bradford Martz: I did not know it, the assumption date which was September 22 with approximately 2,600 policies. We’ve subsequently received more opt outs. And I think today that policy count is about 2,100 policies, net of those opt outs received since the assumption date. But these midterm premium related to that assumption in Q4, but the opt out rate is very, very difficult to project to what the impact of assumed business is going to be for Q4. So we’re hesitant to give much guidance on our take-out activity. We will be doing a small take out in October had a function did occur on Wednesday and as well as a slightly larger assumption in November, which has not occurred yet. That will occur November 24. So this one assumes written and assumed turns impacting Q4 in a favorable manner, but we don’t – being in the numbers right now to be material.
Arash Soleimani: And these were all personal residential that you were talking about?
Bennett Bradford Martz: That is correct. We are still working with some agents and evaluating some potential risk on the commercial side, but I really don’t want to give any guidance related to commercial. What we’re doing is a fantastic job on the long-term side with our commission residential writings and that’s where the focus needs to remain.
Arash Soleimani: Can you talk just in that regard about the organic growth within commercial residential and what your outlook is for that again on the voluntary side?
Bennett Bradford Martz: We are doing that, growing that the same way we’re growing everything in a very measured way and a very disciplined way. As you know, the market in Florida is only about $1 billion in total and Citizens has about $400 million of it, very little of that Citizens’ book of business is attractive for private companies in our view. So there is only about $600 million of business that is in play. We said before that we think we can build that business to be something like $50 million business over an extended period of time and we are tracking well on our way to that. I think we are up in the north of $10 million in premium in that and we continue to add policies every month ahead of the plan that we have set to ourselves. So it’s a little bit about that business.
Arash Soleimani: In terms of commercial residential in other states, is that an opportunity or is that more challenging [indiscernible]?
Bennett Bradford Martz: It is an opportunity and we will be rolling that out in other states. We’re going to have our very first filing here in other state very soon and we will be writing that business in all of our states eventually.
Arash Soleimani: And lastly, do you guys have any update in terms of your partnerships that you’re doing and obviously Allstate is the big one in Florida, but just in terms of Geico, what the progress has been there?
Bennett Bradford Martz: Progress has been very good on all fronts. Deepak Menon leads in charge on those national accounts and our business with our partners is stronger than it’s ever been. As you know, the Geico relationship is a relatively new one and they like to start slow and work their way into it. They are very rigorous in their screening of partners and we’ve got a very good relationship with them and expect it will be able to grow that over time. I couldn’t give you any guidance on how big that’s going to get, other than to say we feel very good about the relationship. We are pleased that Geico got comfortable with us and we look forward to growing with them in all of our states and they’re writing right now in most of the states that we do business, they are writing with us already.
Operator: Our next question is from Dan Harvey with Southeast Companies.
Dan Harvey: We had little difficulty getting on the call; we had to go through the international numbers. So when Julie and I got on the call, John, we didn’t hear your opening comments. So I don’t know if any other callers had the difficulty, but there was a problem there.
John Forney: Sorry about that, Dan.
Dan Harvey: So we are on a scratchy international call. The assignment of benefits, the strict underwriting that you spoke about, how much of a problem is that in Florida and is it impacting our business, the way you are writing the policies now, did you remove that risk or can you expand on that?
John Forney: Assignment of benefits is an ongoing issue in Florida certainly for us and I think for most companies that are operating in the state. Citizens actually tried to quantify it in their recent rate filing, the cost that they are incurring as a result of that and it was significant. And everybody has seen that issue come to the floor. So yes, there are numerous issues in Florida, daily claims that you have to deal with. Florida claims is a war and you got to be ready to go to battle every day to make sure that you are paying claims fairly, but not being taken advantage of. And it’s a context forward. And we’ve been doing pretty well at it. We certainly would hope that there can be some legislative or regulatory relief to alleviate the issue. We are not waiting around for that, we are trying to aggressively work towards it and we are doing a pretty good job at it.
Dan Harvey: On the Interboro deal, when they had their customers with their homeowners policy and say their car insurance which they kept, was there a bundling there that they will have to divide when we take the homeowners portion of their business, will you look that up with our bellow or how does that – where is that flowing to the risk we have for that?
John Forney: The Interboro deal has not closed yet and I’m not comfortable disclosing details of their business model to folks just out of courtesy to them, because they are still operating the business right now. So I’d rather not comment on that, other than to say we will not be assuming any of the auto business.
Dan Harvey: So that means – you say we’re paying a fair price for that and the earnings should be accretive here, but we are paying a dollar for dollar for premium basically $55 million for $55 million of gross written premium, is there any significance in that number? Is there a value we can place on our company on gross written premiums?
Bennett Bradford Martz: I don’t think you can do that, its simplistic analysis. Here is one way to think about the Interboro transaction. We are paying $57 million for a $55 million book of business and $40 million of GAAP book value. So we’re paying $17 million in excess of the GAAP book value for a $55 million book of business and a portion of that $17 million that we are going to pay will end up in non-amortizable goodwill. I should say it’s half of it. So that leaves $8 million of expensable acquisition cost for a $55 million book of business which is about 15% or 16% acquisition cost for a seasoned well-performing book of business with a great distribution channel, except pretty reasonable acquisition cost in the Northeast for that and you get the Interboro franchise as well. So that’s why I think it’s a fair price for them and for us and that’s why it will be accretive to us.
Dan Harvey: Can you explain, when I went to the office yesterday, I got the sheet you have on keeping the promise that you break down now the reinsurance coverage, can you explain how we will fair in the Northeast if we had one of those freaky storms one out of 26,000 maybe, how do we fair this issue with how we are writing that reinsurance as opposed to last year.
John Forney: By freaky storm, are you saying, you mean hurricane or it’s something else?
Dan Harvey: The winter storms, just you called them by [one meter out] you said it was the biggest winter storm in 26,000 years. I mean, referring to that winter storm, are reinsurance coverage on that storm you might have modeled it different this year, can you explain how you model this year versus last year and what will that – what would the impact be if we had the same storms?
John Forney: The reinsurance treaty that covered that storm loss is a January 1 treaty, January 1 to December 31. So we are in the process, we are in the market right now talking to reinsurers about renewing that coverage and making some modifications to it. So stay tuned, we will be putting a new cover in place January 1 to predict against those kinds of events.
Dan Harvey: So we would not have a similar amount of cat losses we experienced in the first quarter if we have this new policy, are you saying?
John Forney: We don’t have it structured yet. So it would be premature to say that.
Dan Harvey: Hopefully we won’t get now as bad it was last year. The state of Florida came out with an article in the paper yesterday, The Times, talking about the strength of the 67 companies in Florida and there was a rating system and they all came in with anywhere from 10% to 400% of their ability to cover their liability back to their payout claims. And did you happen to see that, can you say where does United stand in that strength?
John Forney: I did see the summary of the report. I don’t think they disclosed individual company results and I don’t think we’ve been told what our individual company results were based on the methodology that they incurred. But as you know, we feel very good about our reinsurance program, the program we put in place on June 1 this year is the best program we’ve ever had, over $1.3 billion in coverage. And there is no event in the history of the United States that would go even halfway up our reinsurance tower. So we have a very strong program.
Dan Harvey: Going forward on modeling, can you model what do you think our internal – what will our amount we will make on our investment portfolio on a per share basis, is it like $0.50 a share?
John Forney: I think the best way to look at investments is yield, right. We’re going to have to live in a interest rate environment we are given, we don’t control rates and our investment strategy is to minimize asset risk. We don’t want to take risk on the balance sheet as we start taking already enough risk in the liability side with our underwriting. So we keep a high credit quality, short duration portfolio and right now you’ve got short-term treasuries, most of which are below 1%, around 2%. So our investment yield outlook is going to be consistent with what we produced historically.
Dan Harvey: Will that come into the $10 million annual basis?
John Forney: I’m not sure where you’re getting $10 million from.
Dan Harvey: 500 million times 2%.
Bennett Bradford Martz: That’s written premium, that’s not investment. The $530 million cash in invested assets, theoretically if everything was invested in earning a book yield of 2%, yes, that would be an accurate calculation. Not all cash in invested assets are fully invested earning net yield.
Dan Harvey: You’re going to say something, John?
John Forney: The income statement shows $6.7 million on investment income through September 30. So you can annualize that and see that it’s close to 10, not quite.
Bennett Bradford Martz: That’s where I was getting and I would just like to go into the records saying that United was formed by doing take-out policies and we took out policies like crazy back in the days and that’s what formed this company and we received a good take-out bonus to take those policies out. And I was getting on board doing that earlier, that gave us the ability to staff this platform where we are right now. So take out has been a very important part of United’s business through the history of it.
John Forney: That was 1999, it was a different year, that’s not who we are today.
Dan Harvey: No, I have just one – people know that we did play those games.
John Forney: It was 1999, it’s a very different year and that’s not who we are today.
Dan Harvey: That’s what we were is what I’m trying to say.
John Forney: Not who we are.
Operator: [Operator Instructions] Our next question is from Samir Khare with Capital Returns Management.
Samir Khare: I had a couple of quick questions and I may have missed this in your previous statements. But healthy growth in the quarter, I was curious if that was your attention was?
Bennett Bradford Martz: So we measure retention two different ways, right. Retention at renewal and then throughout the entire term of the policy. At renewal, July was 92%, August was 91%, September was 92%. But what we call the survival rate which is through the entire term of the policy after renewal, July 82%, August was 83% and September was 83%. So very, very consistent with our historical performance on retention. We are monitoring very, very carefully.
Samir Khare: And can you give us the dollars of new premiums you wrote inside and outside Florida for the quarter? And how much of that was from commercial residential?
Bennett Bradford Martz: New business gross written premium, I would get this all monthly, I got to do a little bit of math here for you, hang on. So it’s almost $44 million of new business written during the quarter. Florida was almost $7 million of that. So the balance would be non-Florida, commercial [indiscernible]. Commercial was almost $3 million for the quarter and year to date it’s $27 million, in force $10.9 million.
Samir Khare: And I was hoping you guys could talk about the competitive landscape both inside and outside Florida, may be outside Florida you can talk about some of your larger markets and then what you’re rate change – what rate changes do you have in the pipeline for Massachusetts?
John Forney: That was one of the great first questions that Greg Peters asked and we’ve answered that competitive landscape question already.
Samir Khare: I missed that. And then the favorable development, actually did you guys talk about Massachusetts?
John Forney: No, we are analyzing our rates, needed rates in Massachusetts and we will be doing a filing that we haven’t yet finalized that yet. We’re close.
Samir Khare: And did you guys talk about the favorable development what accident years that was from and the cost of it?
John Forney: We did not talk about that. Brad?
Bennett Bradford Martz: We did not. It was mainly 2014.
Samir Khare: And seeded premium for the quarter, did that have any reinstatement premium associated with it?
Bennett Bradford Martz: Immaterial amount, yes, but we did have some stated losses any time we got seeded losses, there is a very small range premiums associated with that.
Samir Khare: And in terms of when you guys combine companies with Interboro in the first quarter of next year, do you have an idea of what the seeded premium run rate might be for the first couple of quarters?
John Forney: And I would hesitate [indiscernible] at this time. Interboro is handling their own reinsurance renewal, they’re 1-1 renewal cycle. We do not know what type of program is going to be put in place other than the fact that it will have to be consistent with what they have placed historically to meet all regulatory and rating agency requirements. But it’s pretty immature to speculate about reinsurance cost with Interboro.
Samir Khare: And there has been some press coverage around reinsurance coverage on the winter storms, should we think reinsurance recoverables as final and contested or is there some provision for an uncollectible reinsurance in your financial results?
Bennett Bradford Martz: We have a very strong relationship with our reinsurance partner. On that treaty, it was [Q3] they came in and spent nearly a week at the offices reviewing all of our claims and methodologies and they told us that we were the first company that are wrote a check to because we had dealt in such a straightforward and open and transparent way with the issues on the table. And so we’re not sideways with our reinsurance partner at all.
Samir Khare: Good to hear. And then what is the current month cash at the holding company?
Bennett Bradford Martz: Approximately $55 million of unrestricted cash available to the holding company.
Samir Khare:
A:
Bennett Bradford Martz: Yes.
Operator: Thank you. We have no further questions. With that, I’d like to turn the call back to management for closing remarks.
John Forney: Thank you very much. And once again, we like to express our appreciation to all of the investors and other participants on the call for your interest in our company. At this point, we will conclude the call. Thanks everybody.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.